Marc Arthur Ronchetti: Good morning, and welcome to our full year '25 results presentation. It's great to be here to present a really strong set of results. In fact, overall, I'd say some of the best results that I've seen in my 9 years here at Halma. These are results which clearly demonstrate both the benefits of our sustainable growth model and the value of having exceptional talent and teams across the group. Good morning, and welcome to our full year '25 results presentation. It's great to be here to present a really strong set of results. In fact, overall, I'd say some of the best results that I've seen in my 9 years here at Halma. These are results which clearly demonstrate both the benefits of our sustainable growth model and the value of having exceptional talent and teams across the group. And I'd like to start today by thanking everyone at Halma for their continued commitment to delivering our purpose and their contributions to our success over the last year, something we should all be extremely proud of. I'd also like to take this opportunity to introduce Carole, who joined as our CFO at the beginning of April. And it's been great to work with Carole over the last 9 years in her role as a Nonexecutive Director on our Board. And it's absolutely fantastic that she's now part of my leadership team. And I know that we'll all see the benefit of her significant experience as a finance leader and her passion for Halma's purpose and culture as we work together to deliver Halma's growth strategy. In a few moments, Carole will give you some more insight into our financial performance in the last year. But first, let me start with some of the highlights. As I say, it's great to report another set of strong results with record revenue and profit, this now being our 22nd consecutive year of profit growth. And I'm really pleased to see that these results are underpinned by strong organic growth above our long-term average. We've also delivered increases to our margins and to returns on capital with both metrics now at the upper part of our target ranges. And once again, cash generation has been excellent, well above our KPI, enabling us to make continued substantial investments to support our future growth. Delivery of this financial performance in varied and fast-changing market conditions further increases my confidence in our ability to continue to deliver strong and compounding growth and returns. And it's also a financial performance that supports a further dividend increase, making this the 46th consecutive year of dividend growth of 5% or more. I'll share my thoughts on how we've delivered these excellent results later. However, before that, let me hand over to Carole for some more insights into our performance in the year.
Carole Jean Cran: Thank you very much, Marc. Good morning, everyone. I'm really pleased to be here today to present my first set of results as Halma's CFO. I'm now a couple of months into my new role after a successful handover period with Steve. This is the ideal opportunity to get out into the business and to spend time with my new colleagues. The last 9 years as a nonexec means that I have an understanding of the sustainable growth model and the company's people and culture that have delivered many years of success with revenues growing from GBP 700 million to GBP 2.2 billion over that time. Five months spending time with my colleagues and visiting 11 of the companies have given me a fresh perspective. I'm looking forward to more trips planned in the summer and later this year. Two things have particularly struck me: one, the talent of our people and the inspiration and drive they get from our collective purpose; and two, that our people are passionate about what they do and solving problems for their customers. Today's results continue our track record of delivering long-term compounding growth and strong returns. So let's look at the results in more detail. I'm pleased that we've delivered strong growth and increased our already strong margins and returns with revenue up 11% and EBIT up 15%. EBIT margin up 80 basis points to 21.6% and ROTIC up 60 basis points to 15%. Our strong growth and returns have enabled us to continue to invest for the long term. Our companies are well invested, GBP 108 million in R&D, which is 4.8% of group revenues. We made 7 acquisitions during the year, 2 stand-alones and 5 bolt-ons with a consideration of GBP 157 million. Acquisitions made in the year represented 3.5% of profit. This follows on from the 8 businesses we acquired last year. We have a healthy pipeline across all 3 sectors, and we will continue to maintain our discipline in acquiring only the best businesses. Our strong growth and high returns are demonstrated by the strength of our cash conversion and balance sheet. This means we have the funding for future investment and growth. So let's look at the metrics. It's fantastic to see our cash conversion at 112% and well ahead of our target of 90%. Even with combined investment of more than GBP 300 million in the year, our cash-generative model means that our leverage reduced to just under 1. This gives us the firepower and flexibility to deliver on our M&A strategy. Finally, as you heard from Marc, this supports a dividend increase of 7%. Now let's look at our revenue growth in more detail. This slide bridges the year-on-year revenue growth of 10.5% Organic growth was strong at 9.4%, and as Marc said, ahead of our long-term trend. This reflected good growth across Safety and E&A and includes a level of premium growth from Photonics. The majority of the growth was volume driven with a typical price increase of 1% to 2%. Acquisitions, including the most recent stand-alones, MK Test and Lamidey Noury, contributed to revenue growth of 3.1%. This was partially offset by the HYDREKA disposal completed in the first half of the year. Finally, there was a translational currency headwind of 1.6% due to the strengthening of sterling, primarily against the U.S. dollar. It's worth noting that based on latest currency rates, we expect a headwind of around 4% in FY '26. Let's now move from revenue to profit and margins. EBIT was up 14.7% on a reported basis and a healthy 12.6% on an organic basis. This was ahead of revenue growth and reflects good operational delivery and mix with margin expansion across all 3 sectors, which I'll come back to. Acquisitions contributed 4.1% ahead of the revenue contribution, reflecting the quality of the businesses that we have acquired. The currency headwind was 1.9% Overall, it was good to see the EBIT margin increase 80 basis points to 21.6%, which is modestly above the middle of our target range of 19% to 23%. Moving on to the sector commentaries. It is worth remembering that when we look at the sectors, while we show revenue by destination, the rate of growth in each region is driven by the strength of demand in a particular company as opposed to the geography. I'll start with the Safety sector. The Safety sector delivered another strong performance, building on the momentum of an excellent year in 2024 and good that it was broad-based. Revenue and profit grew across all subsectors. On an organic basis, revenue grew 8%. The sector delivered a double-digit increase in profit, up 14% on a reported basis and 12% organically. The margin increased 90 basis points to 24.2%, which is around our historic highs for the sector. The performance was driven by strong revenue growth, favorable product and portfolio mix and good operational delivery. Our Safety companies are well invested to support their future growth with R&D spend increasing to 5.6% of revenue. Finally, there was a solid contribution from acquisitions of 3.9%. Turning next to the Environmental & Analysis sector. Fantastic to see the sector delivering strong revenue growth with reported growth of 18% and organic growth of 19%, which included very strong growth in the Optical Analysis subsector. The main driver for this was exceptional growth in Photonics, which continued to benefit from increased customer demand for digital and data capabilities. Marc will come back to this later in the presentation. Growth in this subsector was also supported by recovery in a number of spectroscopy markets. The exceptional growth in Photonics and recovery in spectroscopy are reflected in the very strong growth in the U.S.A., while this recovery is also coming through strongly in Asia Pacific. The environmental monitoring subsector also grew well. This reflected a strong performance in gas detection and analysis, which you can also see coming through in the U.S. and Asia Pacific numbers. The Water Analysis and Treatment subsector had a mixed performance. We saw modest growth in water testing and disinfection, but this was more than offset by a decline in water infrastructure. Our companies experienced a slow start to utility companies' capital projects at the beginning of the U.K. AMP cycle. Profit increased by 26% on an organic basis. The profit margin was up 140 basis points to 23.9%, and was driven by the recovery in higher-margin spectroscopy, good cost discipline and leveraging the top line growth. At the same time, it was pleasing to see continuing investment. R&D was up 4%, noting that R&D as a percentage of revenue is lower than for the other sectors, with the growth in Photonics having a lower R&D intensity. And finally, there was a solid contribution from acquisitions, partially offset by the disposal of HYDREKA. Now let's turn to the Healthcare sector. The Healthcare sector delivered a resilient performance given the subdued backdrop. That said, it was good to see a substantial improvement as the year progressed. All 3 subsectors delivered organic revenue and profit growth in the second half of the year. This is reinforcing our confidence in our Healthcare end markets and the long-term trends that support their growth. By subsector, there was modest revenue growth in Healthcare Assessment and Analytics and improved momentum in half 2. Performance in Therapeutic Solutions was mixed, however, also improving in half 2. There was strong growth in several of our surgical and respiratory devices companies. This was offset by a decline in eye health therapeutics in Europe coming off of 2 years of very strong growth. Life Sciences delivered good growth following a significant slowdown in the prior year. Profit was 4% higher on a reported basis and marginally up on an organic basis. This reflected a decline in half 1 with strong recovery in half 2 coming through operating leverage from improved revenue growth. The margin increased 20 basis points in the year to 22.9%. Our Healthcare companies are well invested with R&D at 5.2% of sales. Finally, there was a good contribution from acquisitions, reflecting the quality of businesses we recently acquired. I'll now talk about the strength of our cash flows and balance sheet and how we've allocated capital during the year. The cash- generative nature of our companies is represented by the dark green bar with strong organic growth self-funding more than GBP 300 million of investment that I mentioned for future growth. Within this, it's also great to see the impact of strong working capital management from our companies with inventory return to pre-COVID levels. And as always, we have the flexibility to support our companies to invest in working capital where it makes strategic sense to do so. Simply put, our capital allocation priorities are: Firstly, organic investment to support our long-term growth, represented here by the organic investment through R&D and CapEx of GBP 154 million; second, continued value-enhancing acquisitions, which as you can see through our net acquisition spend of GBP 162 million. And finally, a progressive return to shareholders through the dividend with GBP 84 million returned this year. Our continued balance sheet strength gives us the flexibility and firepower to support our healthy pipeline. Now let's turn to our financial KPIs and how we performed against them. This is a really strong set of results across the board and credit to everyone in Halma for delivering this. We are well within range or have exceeded all our KPI targets, except one. We delivered strong growth and increased our already strong EBIT margins. This while we continued to invest for sustainable long-term growth, both organically and through acquisitions. While the in-year spend was below our KPI this year at 3.5%, over the last 5 years, our acquisition profit KPI has averaged 6%, above our 5% target. This reflecting the timing and nature of the acquisitions we make. Cash conversion was very strong and well ahead of our KPI target, noting that with the unwind of inventory to more normal levels, we would expect cash conversion to be more in line with our target of 90% going forward. Fantastic to see ROTIC improving to 15%, now in the upper half of our target range, reflecting strong revenue growth and margin progression. Our performance across our KPIs shows that we continue to create significant value for our shareholders. Turning to my next slide, which I think speaks for itself. The consistency of growth we have delivered over the last 10 years at the revenue and EBIT level, both compounding at 12%, a performance that we have delivered through economic cycles and the global events of our time. Our track record demonstrates the benefits of the diversity and agility that we derive from our sustainable growth model and reinforces our confidence to continue to deliver strong growth and returns. Moving now to my last slide, which is on guidance for FY '26. We've made a positive start to 2026 financial year with a strong order book and the order take ahead of revenue in last year. While the geopolitical and economic environment remain uncertain, we currently expect to deliver upper single-digit percentage organic revenue growth in this financial year. This includes a premium from further very strong growth in Photonics within the Environmental & Analysis sector. Adjusted EBIT margin is expected to be modestly above the middle of our target range of 19% to 23%. I will now hand you back to Marc.
Marc Arthur Ronchetti: Thanks, Carole. And great to see that growth in revenue and profit further extending our strong track record of compounding growth and returns. This time last year, I spoke about how our growth over the last 50 years has been underpinned by the principles which form our sustainable growth model. This is a model that's been tested and proven to be resilient. And whilst it continues to evolve, the fundamentals have remained. The continuous interaction of the elements you see on this slide have been critical in enabling our performance over many years, including the strong growth in returns in the last year that Carole has just described. Our model also underpins my belief that we can continue to generate strong growth, high margins and returns well above our cost of capital for decades to come. Today, I'm going to take a closer look at 3 critical aspects of the model. What makes a great Halma company and a great Halma leader? How our companies benefit from being a part of Halma? And finally, how our organizational design enables our companies to maintain close relationships with their customers, which in turn informs the many opportunities they see to provide innovative solutions to their critical needs? So let's look first at the qualities of a Halma company and a Halma leader, 2 fundamentals of our model. And unsurprisingly, there's a high level of overlap between the 2. For both our companies and leaders, alignment with our purpose and cultural fit are critical. We want our companies and our people to be ambitious, entrepreneurial and focused on creating opportunities to grow our positive impact. We want them to do that by leveraging the power of networks and teams in their companies and across Halma. For both our companies and for our leaders, agility is key. We want to be able to respond with pace to opportunities and to challenges in each of our markets. And this is why we focus on niche products in markets where growth is supported by long-term growth drivers. These are markets where our leaders can be close to their customers and understand their challenges. And as part of our organizational model, we give our leaders the autonomy to react rapidly to provide high-value critical solutions to complex problems. And in turn, this means our leaders need to be diverse thinkers, intellectually capable and inquisitive, entrepreneurial and agile in their thinking. They also need to be comfortable with the accountability that comes with their autonomy. And at the same time, we want them to harness the power of teams and networks to create ever better solutions for our customers, requiring our leaders to have a low ego and be willing to celebrate success through others. So how does this work in practice when we're selecting the companies that we wish to buy? These are the acquisitions that we made in 2025. All acquisitions which have increased the diversity of our portfolio, further broadening our market presence across all 3 of our sectors. As I look forward, I'm confident in further progress in 2026. We've got a healthy pipeline of potential acquisitions, and we've made further investments in our M&A capabilities, adding further skilled resources in our sector and dedicated M&A teams. And it's been great to see a really high level of activity in these teams alongside our continued discipline in selecting only companies that fit with Halma. Let me try and bring this approach to life by looking at one of this year's acquisitions, MK Test Systems. Ensuring the safety of workers and critical assets has always been a focus for Halma. It was one of the first markets that we entered back in 1971 through the purchase of Castell, which is now part of CenTrak (sic) [ Halma ]. And over the years, this has broadened to include solutions for new end markets, examples including renewable energy installations and data centers. With our knowledge of safety needs in manufacturing and transportation, we identified a further market niche in testing the integrity and safety of electrical systems. And this led us to the acquisition of WEETECH in Germany in 2022. And then in May last year to MK Test. So why did we choose MK Test? First, it's strongly aligned to our purpose, not only to safety, but also it offers opportunities to support electrification as part of green energy use. Second, we see very strong long-term drivers underpinning its growth. Electrical systems are getting ever more complex and more hazardous with increasing use of high voltage. And as a result, regulation is increasing to protect workers and users. And in turn, that means that manufacturers have a greater need to automate electrical testing to fulfill regulatory requirements more efficiently. And in MK Test, we saw a company that had that specialist technology to help its customers. It also had strong customer relationships with companies such as Airbus and Daimler Truck, resulting in a deep understanding of their developing needs. And really importantly, we also saw that MK Test has an entrepreneurial culture with an ambitious and growth-focused leadership team that would fit well within Halma. And all of these elements giving us the confidence that MK Test can continue to deliver strong and superior growth, margins and returns for many years to come. So why would a successful business such as MK Test want to join us here at Halma? Simply put, I believe it's because we can offer them what I see is the best of both worlds, the advantages of retaining their entrepreneurial agility while being part of a large FTSE 100 global group. Our model helps them to overcome the barriers to growth that many SMEs experience; how to attract and retain the best talent, how to internationalize their business, how to grow through M&A, and how to leverage the best technology, including in AI and cybersecurity. In addition, and for me of real value, it gives them the opportunity to network and share learnings with other companies in the group. All of this while also benefiting from the capital and resources that Halma has to offer. But don't take it from me. Let's hear from some of our companies. [Presentation]
Marc Arthur Ronchetti: Some fantastic comments there. Oli highlighting the freedom she has to set CenTrak's growth strategy. Steve and Graham focusing on the power of the Halma network and the support they get from the group, and all of them clearly demonstrating how they act as entrepreneurial owners of their companies with autonomy and clear accountability. And it's in this context that I'd like to spend a few moments on the significant growth that we've seen in Photonics. And just to remind you, there are some limits to what I can say, given the confidentiality agreement that we've got in place with our customer. That said, Photonics is a growth story driven by the success of one of our companies, which demonstrates many of the same elements which drive success across our portfolio; significant technical skills, in this case, substantial application expertise in the use of Photonics, the ability to identify a new market opportunity, specifically supporting a hyperscaler technology company, as it develops its data center capabilities; a business built on long-term customer relationships here over 10 years, meaning that we've got that deep understanding of our customer needs, supporting our customer with a small but critical component of a wider solution, agile and entrepreneurial leadership with the autonomy to lead the company whilst leveraging the benefits of being part of Halma. And of course, a financial track record that's seen revenue grow from under GBP 10 million in 2011 to around 15% of group revenue today. Of course, we also recognize that this level of growth is exceptional. Frankly, we celebrate that success. After all, we're looking to maximize the potential in every one of our portfolio companies. We also recognize some of the more unique characteristics, such as the fact that the majority of that growth has come from a single customer. So how are we managing this premium growth and diversifying revenue in the context of our broader portfolio? Well, first, we support our companies in delivering this growth, helping them maintain the close customer relationships that they've built over many years, and supporting them in scaling their company to meet their customers' demand in areas including talent and their facilities. Second, helping our companies develop wider sources of long-term growth, in this case, by developing alternative uses for Photonics technology through establishing separate teams focused on diversifying revenue streams with new customers in a variety of end market applications. And third, our devolved and autonomous model allows us to again have the best of both worlds as a portfolio to benefit from the strong growth being delivered by Photonics and at the same time, to use this period of premium growth to increase our investment, both organically and in M&A to support the excellent and continuing long-term growth opportunities in the rest of the group. As you've heard, a core component of the success in Photonics has been the ability to develop close customer relationships. And this is a consistent theme across our portfolio. So let's hear from 2 of our other companies, how they are delivering growth based on their long-term customer relationships. [Presentation]
Marc Arthur Ronchetti: Two further fantastic examples of how we create opportunities to deliver growth from BEA, which has been part of Halma for more than 20 years, and IZI, which has been part of the group only since 2022. So three companies with different histories operating in very different markets, but using that same approach. They have entrepreneurial leadership who are driving purpose aligned growth in markets with long-term growth opportunities. They're maintaining close customer relationships. They're acting with agility to seize opportunities and respond to changes in their markets. Companies ensure they have the capabilities to deliver strong growth and returns over the long term. So bringing it all together, Carole has described the strength of our performance in 2025, delivered in varied markets, another record year for the group. And while the broader environment remains uncertain, we expect to deliver another successful year in 2026. You've heard how this continued success is enabled by our sustainable growth model, a proven model whose fundamental strengths have sustained our track record of compounding growth and returns over more than half a century. And a model whose strengths support my confidence that we're well positioned to make further progress in this year and over the longer term. That's the end of the presentation, and now we've got time for some questions. [Operator Instructions].
Marc Arthur Ronchetti: So our first question today comes from Andre.
Andre Kukhnin: I've got a couple of questions. I'll just go one at a time. Firstly, going through kind of the portfolio and clearly very strong results delivered across the board. I just wanted to ask about Safety, the kind of the organic growth acceleration there, the margins now, I think, all-time highs. How do you view that performance in 2026 and maybe now 2 years? Is it sustainable? Can we push on even further from here?
Marc Arthur Ronchetti: Yes. Thanks, Andre. And I would say, really pleased with the wider results and in particular, Safety. We're clearly coming off the back of 2 strong years, which is great to see. We've got momentum, the order intake and the order books there. Really great job by the teams in terms of the margin. A lot of that is real focus both on gross margin, on the mix of business and, of course, on just managing overhead, but making sure that we continue that investment. So 2 great years. As we look forward, clearly, we are coming up against a stronger comparator. And I think with any of our businesses, it's always fair to say that whilst not material, we're not immune to some of the challenges in the end markets. But the portfolio gives us that diversity to give us a level of confidence that FY '26 will be another good year for the sector.
Andre Kukhnin: Great. And maybe a question on guidance. There's something coming we got this morning. Clearly, full year guidance is for high single-digit growth, margin middle of the range. How would you expect that to pan out between the first half and second half, if you can already comment at this stage?
Carole Jean Cran: Yes. Sure. Andre, Carole here. Yes, pretty similar to what we've seen historical, Andre, on the revenue and the profit. So revenue probably sort of 48-52 split. And then typically, the profit comes through a sort of 45-55. So yes, based on what we're seeing and hearing from the businesses at the moment, that's what we're expecting for this year too.
Marc Arthur Ronchetti: So next, let's go to Max.
Max R. Yates: And yes, great to see the growth sort of broadening out into some of the other areas from the results. But I think what I'd really like to focus on just first would be actually on the M&A side? And I guess we're always interested to hear how you're investing in your M&A capabilities and how you kind of continue to enhance that process. So maybe sort of, firstly, any examples or investments that you've made, particularly in the process, people, or how you go about doing M&A to sort of continue to develop that very successful process going forward?
Marc Arthur Ronchetti: Yes. Thanks, Max. And as you say, really good progress on M&A. And as you know, because of our approach to M&A in terms of ultimately buying businesses that aren't for sale. In a 1-year period, you tend to get a few ups and downs. But if we look at our progress over the last 5 years, including COVID, we're still at a really healthy 5.9%. But that said, to your point, we're never resting on our laurels. We're always thinking about where are the opportunities, where can we invest to maintain that real focus on good quality assets. And in the last 12, 18 months, we've invested both in our sector teams at the DCE level. As you know, they're responsible ultimately for bringing in M&A to the group. They'll then be responsible for delivery of the results in those businesses. So we've added DCEs to give us scalability moving forward. And we've also made investments in the dedicated M&A team, small teams, but there to focus and really help us think through the market mapping, finding those niches, finding those markets with the long-term growth drivers. So targeted investment. And as I said on the presentation, really pleased to see the level of activity. And we've got a healthy pipeline, and I think importantly, across all sectors and a really nice mix between stand-alone and bolt-ons. So yes, looking forward to what's to come on the M&A side.
Max R. Yates: Great. And maybe just my second question is around the Healthcare business. It looked like kind of that turned a corner in the second half of the year. I guess maybe when we look at sort of what's happening in the U.S. around some of the regulatory debate, maybe if you could just talk a little bit about how your customer conversations are evolving? Are you finding any sort of caution across your U.S. customers? And any sort of the helm of portfolios that may be kind of more or less sensitive due to their business models in any of these particular areas? But any context around that would be great.
Marc Arthur Ronchetti: Yes. Thanks, Max. I mean, first thing to say, as you pointed out, it's really, really pleasing to see the H2 recovery. And I think a real testament to the teams in terms of keeping that closeness to the markets, taking the appropriate actions, but also a really good example of how the wider portfolio enabled us to continue to invest over the last couple of years. And as we've talked before, we're not immune. We're more resilient to some of those wider challenges that we've seen in healthcare. As we sit here today, there's clearly a number of developments that you refer to, particularly in the U.S., whether that be around Medicaid, whether that be around NIH spending. The reality is, because of the types of businesses that we're in, i.e., the markets that we operate in are largely nondiscretionary in terms of those disease states, whether that's around cancer diagnostics or acute therapeutics. So you've got an underlying demand there. It's nondiscretionary. In addition to that other end markets that we're in of high importance around ophthalmology and eye health. So that certainly helps. In addition, most of the time we're sort of a relatively cheap part of the wider system. So all of those things give us the resilience. We do have a low exposure to academia. And then to your point, we're in good markets. It then comes back to the model, and this is where we've got fantastic people leading our companies close to their customers, with real deep knowledge that allows them to react accordingly. So we're keeping a close eye in terms of what we're seeing on order take. We're keeping close to our customers. And that's led us to give the group guidance. So I'm certainly not expecting a heroic recovery into FY '26, but certainly expect to see a continuation of that momentum that we've seen in the second half of this year. Thanks, Max. So if we next go, Rory, I see you've got your hand up, so we'll go to Rory. And then we'll pick up, Jonathan, your typed questions next.
Rory Smith: It's Rory from Oxcap. Marc, I appreciate the strength across the portfolio here, but I think the shares are really up so much this morning based on the strength of the upgrade. And clearly, that's driven by Photonics. So maybe if we can just talk about that for a little bit. The first question there is what outlook are you willing to give beyond 2026 for that kind of premium growth that's adding the 2 percentage points to the group top line?
Marc Arthur Ronchetti: Yes. Certainly, I think, Rory, just worth a bit of a step back on Photonics. As you know, I very much rightly view the group as a portfolio of businesses, and I think of our performance as such. I don't think it is appropriate to exclude high-performing parts of the portfolio in any given period. And I also don't think it's appropriate to exclude those at the other end of the spectrum. But as you've heard today, we also operationally treat our Photonics business in the same way as all others, albeit we are getting rightly a number of questions and interest. We acknowledge the period of exceptional growth. And as I said in the presentation, the fact that we've got a single customer. So what we're trying to do is give a little bit more insight, whilst keeping to that principle of a portfolio performance. It's also just worth reminding everyone that we do have that confidentiality. So I've got to be a little bit careful in what I can disclose. So given that we're thinking of it in the wider portfolio performance, that's where that reference is coming to premium growth. And I guess to try and bring that to life, I'm starting with the assumption that Photonics grows in line with the group's long-term organic growth rate of around 7%. And then any growth that we see over and above that, that's what we're calling the premium growth and then using that level to determine the impact on the group's revenue in the period. So that's the context. And hopefully, you'll appreciate that little bit of color that we've given also in the presentation. In terms of looking forward, I think I've talked before, on the positive side, we've got a really strong relationship with the customer over 10 years, and we're really embedded with the customer. We're embedded with our R&D team. We're managing the supply chain. And of course, we're able to fulfill the complex manufacturing at scale to meet their needs. So good news there. We're also a critical component of the wider solution. But on the flip side, we've all got to appreciate that this is a really dynamic market. There's rapid development, there's technology change, but all of that means that we're well positioned. Final point then on looking forward. We've had the conversation before, and we've shared that we don't have a long-term contract in place. But instead, what we do have is visibility of purchase orders. And it's based on that, that we've given the visibility for FY '26 and inclusion in the guidance. But I come back again to that point on the dynamic market that we're operating in. Beyond that, clearly, there's a bit of a short-term driver in terms of the build-out of that data center capability. But as I look forward, I believe there will be an element of upgrade. I believe there will be an element of maintenance. So I trust the team and I trust the relationship, and we'll keep updating you as our visibility becomes clearer.
Rory Smith: That's brilliant. Can I just follow up there on the sort of capital implications? I noticed the CapEx guidance has nudged up for '26 a little bit, GBP 45 million to GBP 50 million. And just thinking back to H2 last year when we thought that the growth or certainly the guidance around Photonics was for the growth to kind of peter out or level out. If anyone cared to look on the That's brilliant. Can I just follow up there on the Avo Photonics website, there was a comment around expanding that facility. I noticed this morning that's no longer there. Is that just a sort of sanitization point? Or how are we thinking about any potential investment that's needed to meet that growth?
Carole Jean Cran: Rory, Carole here. Yes, I mean, on the broader CapEx point and that slight tick up for the guidance, I mean, that's generally across the sectors where we're expanding capacity. And in fact, the particular step-up is for one of our safety businesses that have been in the group actually for a couple of decades, and they're actually bringing 3 of their facilities together just to get better efficiency. So most of the increase actually relates to them. There is a bit that relates to Photonics capacity as well. But in the round, that guidance for CapEx is pretty well spread. And as you know, we're not a capital-intensive business. So it sort of take it in the round really.
Marc Arthur Ronchetti: Thank you, Rory. As I said, I'll just go to Jonathan's question. If I read them out and then we'll divvy them up between us. The first question there is, can you elaborate on the reasons for the decline in Healthcare R&D spend year-on-year in FY '25? The 2 other divisions saw growth. That's the first question. Second question, Healthcare saw a big step in margin in the second half. Is this level of profitability sustainable? And then the third question, water infrastructure in E&A has been mixed. When do you think spend from AMP 8 in the U.K. starts to feed through to Halma? So if I just pick up the first question, Carole can pick up the bit on the margin, and then I'll come back to the question on water. I think the point there on R&D spend in FY '25 is much more around phasing. We had high levels in the last couple of years. As you know, our organic investment in growth through R&D is bottom-up in the business. Because we remunerate on growth, it means that we can have really good conversations with our businesses every year in terms of the level of investment that they need to sustain that compounding growth for decades to come. So nothing to read into that apart from a little bit of phasing. We certainly haven't reined back in the R&D spend in Healthcare.
Carole Jean Cran: I'll take the second one. Jonathan, just on your second question on the Healthcare H2 margins. I mean, as you know, obviously, the market backdrop for Healthcare has been quite challenging as we've seen the unwind of the overstocking. So it's fair to say that Steve Brown, the Sector Chief Exec, and his team have done an excellent job managing cost. And so when we saw the revenue starting to recover in H2, then that dropped through nicely to the bottom line. Looking forward, I think the general comment we'd make is clearly, if we can continue to see recovery, that will help margins. That said, Steve and the team will make sure that perhaps where they've been more cautious on their overhead addition, then it gives them an opportunity to start to reinvest maybe in some of those more discretionary elements. So great progress by the team. And hopefully, we'll see that recovery continue.
Marc Arthur Ronchetti: Jonathan, just picking up on the third point as a reminder, just around water infrastructure and E&A and the timing of the AMP cycle. Yes, I guess the last 12 months have been a little bit mixed. I think you had the end of the U.K. AMP cycle in addition to some of the wider challenges in Thames water and the like. So a subdued year. What we are seeing is that, that need for the investment continues. The level of investment is there, and we're starting to see that feed through. But again, I just think worth giving a little bit of context is that we're not dependent on any one market to drive the growth, and about 1/3 of our U.K. water revenue is from the AMP cycle. So putting that into context, it's approximately 1% of the group's revenue. But to answer the question, we're starting to see that come through in the first half of this year. So now just going back to the calls. Alex, we'll come to you.
Alexandro da Silva O'Hanlon: Well done on a strong set of results. Just had a couple. The first one is just on the very strong cash conversion. Obviously, that was kind of driven by very strong inventory management and a lower working capital absorption kind of down to 17% from 21%. Should we think about working capital absorption being around 17% going forward? Or is that kind of level sustainable? That's the first one.
Carole Jean Cran: Sure. Yes, Carole, obviously. Alex, yes, I mean, as you rightly pointed out, the companies have done a brilliant job. We strategically invested into inventory through the supply chain crisis. And then progressively, under Steve Gunning's leadership, been refocusing on the working capital management. So it's great actually to see it back to what we would consider, I suppose, more normal levels. So to your question, if you look back in time, that is more normal levels. I suppose the only caveat I would put around that, and I made the comment in the presentation, is that if it makes sense to do so in the current climate, then we will, on a targeted basis, support the companies in investing into inventory. But in the round, really pleased with the hard work and attention that's been put into delivering that cash conversion number.
Alexandro da Silva O'Hanlon: Perfect. No, that's super helpful, really. The next question is probably a slightly, I guess, new point. Obviously, very strong results today. I think I'm just trying to get my head around something. Just looking kind of at the level of acquisitions in '24 was 8 and then there were 7 in '25, and obviously, kind of lower consideration was paid. I noticed that the other acquisition items, kind of exceptional costs stepped up quite significantly. I mean it's still only GBP 20 million. But I was wondering if you could kind of help me to understand the relationship between those other acquisition costs and the level of acquisitions being made/consideration?
Carole Jean Cran: Yes, sure, Alex. And I applaud you in going through to that level of detail so quickly. I mean, something that comes through there is the movement in the contingent consideration. So for some of our acquisitions, there will be a contingent element. So the timing of that is obviously slightly different to the initial consideration. And then there's an element of that increase that relates to transaction costs as well. So you're right, it's quite a marked step-up, but nothing unusual as it were, it just reflects those 2 components and the timing of them relative to the transactions themselves.
Marc Arthur Ronchetti: Next, I'll go to David. David Farrell.
David Richard Edward Farrell: My questions are slightly kind of interlinked. Just on the topic of M&A. Haven't been any transactions since, I think, November. Just kind of looking back through history, bar COVID, that probably is the longest period where you haven't had any deals. Could you just give us a bit of an update in terms of what you're seeing in the market? I did sense that you referenced that you were being very disciplined in M&A. So are there being some things which have been closed and perhaps you've decided not to progress with?
Marc Arthur Ronchetti: Thanks, David. As you say, I think we've got to be a little bit careful with the M&A and our approach to M&A of looking at individual 6-month period. It's very much about relationship build and think of it in some ways is we're trying to buy businesses that aren't for sale. It's built on strong relationships. There will be factors that bring things to market. There will be factors that mean that maybe they're delayed. So the wider market at this moment in time, as I alluded to, I'm really pleased with the pipeline that we've got. It's got a nice mix of stand-alone and bolt-ons. It's across all sectors. The wider environment, what are we seeing? I think there's no doubt from the private owners a little bit of all of the volatility in the world. You're seeing two camps. On the one hand, you're seeing those business owners that are thinking there's a lot going on. This is hard work. I would love to find a fantastic home for my business that can support me in reaching our potential over the next X years. But on the other hand, you've got those business owners that are thinking actually the current performance isn't reflective of our true value. And therefore, can we keep in contact, can we keep the relationship going and revisit in 6, 12 months' time. So certainly nothing to read into there. I guess the other dynamic is just around private equity. You've seen we've actually made a couple of acquisitions from private equity in the last few years. What we're seeing there is a number of funds are looking at exiting some of their businesses. But they're really keen to get certainty on timing, they're keen to get certainty on price, they're keen to go to a good home, and that makes us in a good position to get into a one-to-one relationship. So nothing to read into that point on discipline. We always maintain our discipline. We want Halma-like businesses that are going to give us that growth for decades to come.
David Richard Edward Farrell: Okay. And I guess kind of it might be linked and might not be, but I guess ROTIC went up nicely year-on-year, I think kind of 15%. How can you drive that higher? Clearly, this year, margins have helped. But do you see kind of a scenario where that can continue to recover and go higher?
Carole Jean Cran: I'll take that one, David. Yes. I mean what you've seen in FY '25 is that, that sweet spot, as it were of strong top line growth, combined with the strength of the margins. So it comes back fundamentally to what we always say about capital allocation and first and foremost, investing organically to drive that top line and then all the good work around the margin. So we don't give guidance on ROTIC. But if you're thinking about it, then that combination is what moves that metric forward.
David Richard Edward Farrell: Okay. I guess I was just trying to understand how impacted the improvement in ROTIC might have been from the absence of M&A? And whether or not M&A is initially dilutive to the ROTIC?
Marc Arthur Ronchetti: No. I mean, strangely in terms of ROTIC itself, there's no direct impact from M&A because in the denominator, you've either got the cash/net debt or you've got the assets and the goodwill. So you don't see that impact. I think the wider point for me is we're not here trying to keep driving our ROTIC up. This is very much about how do we maintain a level of ROTIC that's a premium to our cost of capital and keep delivering that growth as we have done in the last 12 months. So let's go to Maggie.
Margaret Rose Schooley: I just have one. I was very interested in your comments on taking the Photonics capabilities and starting to think about how to broaden those out across other end markets and sectors. So could you give us possibly some areas we should be thinking, be it defense or other environmental monitoring areas, or where you think those end markets will provide above-market growth trends that we should be thinking you would be focusing on to leverage that technology?
Marc Arthur Ronchetti: Yes. I mean the great news is that with the level of technical expertise that we've got in the teams, the world is our oyster in some ways in terms of the applications. And certainly, I think the use of Photonics globally in many industries will continue to grow going forward. So it's really down to our businesses to identify those opportunities. The same actually in spectroscopy. I mean, the use of light more generally. And the use cases we've got there are many and varied, whether that be in metal sorting, whether that be in consumer products, whether that be in the areas that we talked through already in Photonics. So many, many opportunities. The beauty is that we've got a team with that deep knowledge. We've got a team with that autonomy to make the right decisions, and I look forward to the opportunities that they're able to identify.
Margaret Rose Schooley: Sorry, if I can squeeze one more in. And ex Photonics and E&A, I know you've talked about the U.K. infrastructure. But within E&A, are you seeing more uptick in other areas, particularly in Water Analysis with things like PFAS detection coming in, in the U.S. If there's any color you could give us on the ex Photonics drivers and ex Water Infrastructure that we should be thinking about as well?
Marc Arthur Ronchetti: Yes. We -- and good for you. Thank you, Maggie, for looking beyond Photonics in the sector, because there's been some really strong growth in other parts. And certainly, in environmental monitoring, which includes our gas detection businesses, we saw some really good growth this year. And I guess what's that driven by? There's a larger number of projects in our gas and air quality businesses. And we've seen that notably in the U.S., driven by a number of larger projects. But we're also seeing some growth in new markets in Asia Pacific and a number of our businesses. So it's been exciting to see the investment. It's been exciting to see the growth. And thank you for recognizing other subsectors in the sector that have delivered a great performance.
Margaret Rose Schooley: Sorry, Marc, but you're a victim of your own success, I guess. So thank you very much. I appreciate it.
Marc Arthur Ronchetti: Thanks, Maggie. So last hand that I've got is Martin. We'll come to you, Martin.
Martin Wilkie: Just coming back to acquisitions and the cadence of deals there and how we might think about that globally. There's a lot of things happening in the U.S. at the moment, including also potentially a change to taxation, which I know is not finalized, but it might make multinationals buying in the U.S. sort of less appealing than it has been in the past. Is that causing you to change how you're thinking about regionally where you're looking at acquisitions? Obviously, there's offsets elsewhere with Germany and infrastructure and so forth. But just how you're thinking about internationally, how you're looking at where some of those acquisitions could come from?
Marc Arthur Ronchetti: Yes. Thanks, Martin. I think the start point, and I guess the headline for us is that we see great opportunities across the globe and across all the markets that we operate in today and in fact, in new markets moving forward. It's all about where do we see those long- term cash flows. So there's been no change in terms of mindset in terms of what we're looking at, where we're looking to invest. Clearly, some of the areas such as Section 899 are in draft. We're monitoring them. I think our understanding today, and Carole will correct me if I'm wrong, a lot of the focus is on repatriation. So of course, our business model where we're investing in markets that are often vocal for local means that a large amount of the cash that we're generating in any region, we're reinvesting. So we certainly don't see that as a barrier today, but it's an area that we'll continue to monitor. Anything on that, Carole?
Carole Jean Cran: No, you've covered it well.
Marc Arthur Ronchetti: Is that okay, Martin?
Martin Wilkie: Yes, that's great. Thank you very much.
Marc Arthur Ronchetti: Excellent. So just looking at the screen, it doesn't look as if we've got any further questions. So thank you for your time. As I said at the outset, a really pleasing set of results. I think, a real reflection of the benefits of our model, and we're excited by what lays ahead. Have a great day. Thank you.